Operator: Thank you for joining. I would like to welcome you to the First Horizon Corp. Third quarter 2023 earnings conference call. My name is Frida [Ph] and I'll be your moderator for today's call. All lines are on mute for the presentation portion of the call. There's an opportunity for questions and answers at the end. [Operator Instructions] I would now like to pass the conference over to your host, Natalie Flanders, head of investor relations to begin. So Natalie, you may begin when you are ready.
Natalie Flanders: Thank you, Frida. Good morning. Welcome to our third quarter 2023 results conference call. Thank you for joining us. Today our Chairman, President and CEO, Bryan Jordan and Chief Financial Officer Hope Dmuchowski will provide prepared remarks and then we'll be happy to take your questions. We're also pleased to have our Chief Credit Officer Susan Springfield here to assist with questions as well. Our remarks today will reference our earnings presentation which is available on our website at ir.firsthorizon.com. As always, I need to remind you that we will make forward-looking statements that are subject to risks and uncertainties. Therefore, we ask you to review the factors that may cause our results to differ from our expectations on page two of our presentation and in our SEC filing. Additionally, please be aware that our comments will refer to adjusted results which exclude the impact of notable items. These are non-GAAP measures, so it's important for you to review the GAAP information in our earnings release and on page three of our presentation. And last but not least, our comments reflect our current views and you should understand that we are not obligated to update them. And with that, I'll turn things over to Bryan.
Bryan Jordan: Thank you, Natalie. Good morning, everyone. Thank you for joining our call. Our third quarter results reflect the quality of our franchise and we have highlighted some of our key strengths on slide five. Over the past five months, I've become increasingly confident in our ability to serve our customers and communities and deliver strong shareholder returns. Our team of associates are highly experienced. We've retained 90% of our talent over the past year who have been with us over nine years on average. We have an extraordinary client base that's been with us a long time with a medium tenure of 16 years. Our team's dedication to serving clients is the key driver of our ability to retain 91% of our clients over this past year. With our experienced bankers focus on excellent customer service and our ability to deploy capital through loan and deposit growth, we're seeing solid momentum in our businesses right now. I'm grateful for the hard work of our associates as they deliver value for our clients, communities, and shareholders. On slide six are some of the financial highlights from this quarter, which Hope will cover with you in more detail. We delivered adjusted EPS of $0.27 per share on pre-tax pre-provisioned net revenue of $318 million, resulting in a return on tangible common equity of 9.2%. Our results were impacted by an idiosyncratic charge off of $72 million that we communicated earlier this quarter. This credit loss was related to a company who unexpectedly converted from a chapter 11 to chapter 7 bankruptcy. Otherwise, the balance sheet continues to perform very well. Period end deposits are up $1.6 billion or 2.4% from last quarter as we continue to have success in acquiring customers throughout our deposit franchising campaigns. We opened over 19,000 new deposit accounts this quarter, bringing in $1 billion in balances with over a third of the balances going into checking products. Our loan to deposit ratio improved to 92% as deposit growth outpaced loan growth of just under 1%. Fees are relatively flat to the prior quarter as our countercyclical businesses have stabilized cyclical lows. Though we need to make some investments over the next year or two, we have a proven track record of managing our expense base and will be disciplined in our reinvestment strategy. Our capital position continues to be very strong with our CET1 ratio flat to the prior quarter at 11.1%. As we look toward 2024, we will be evaluating our options to repatriate capital to our shareholders with an eye toward the longer term CET1 ratio range of 9.5% to 10.5%. Overall, sentiment of our bankers and clients remains cautious but positive. Inflation and labor supply continue to be a challenge. However, the economies in our footprint are performing well. Additionally, we recently released the results of our most recent stress test, which demonstrated our capacity to maintain capital levels well in excess of regulatory bounds even in the Fed's severely adverse scenarios. In short, given our stable diversified business mix, attractive footprint, and strong credit culture, we feel confident in our ability to profitably navigate any economic scenario. Our experienced team has a proven track record of delivering high-quality service to meet our clients' and communities' needs. This yields long tenure, deep relationships, and enables us to produce top quartile returns over the cycle. With that, I'll hand the call over to Hope to run through this quarter's financial results. Hope?
Hope Dmuchowski: Thank you, Bryan. Good morning, everyone. Turning to slide seven, we provide adjusted financials and key performance metrics for the quarter. We generated PPNR of $318 million down modestly from second quarter. The main driver was a $26 million decline in net interest income driven by higher deposit costs. Fees and expenses are relatively stable to the prior quarter. As Bryan already mentioned, we experienced an idiosyncratic credit loss of $72 million, which drove the $60 million increase in provision expense to $110 million in the quarter. This single credit impacted adjusted earnings per share by approximately $0.10. Other charge-offs of $23 million were in line with the prior quarters. Tangible book value per share came in at $11.22, with adjusted earnings per share of $0.27, partially offsetting the $0.41 impact of higher marks on securities and hedges and $0.15 of dividends. On slide eight, we outline a couple of notable items in the quarter which reduced our results by $0.04 per quarter. Third quarter notable items include a pre-tax restructuring expense of $10 million related to streamlining our market structure in addition to some reductions in force primarily within mortgage as we continue to look at operational efficiencies within our businesses to offset increasing costs. In addition to the tax impact of the restructuring, there are two notable tax items. A 24 million tax liability related to the book value surrender of approximately 214 million of separate accountable. This was triggered by the Fitch downgrade of the U.S. from AAA to AA+, which caused noncompliance with the underlying investment guidelines of the RAP [Ph] provider. Lower corporate tax rates and higher interest rates made a surrender of the policy the most attractive option to exit this low yielding asset and redeploy the cash into higher yielding and more liquid alternatives. Partially offsetting this is an $11 million of tax benefits primarily related to amended returns on prior acquisitions. On slide nine, I will walk through net interest income and margin. NII of $609 million and net interest margin of 3.17 remains strong despite moderating from cyclical highs. Interest bearing deposit costs increased 81 basis points, partially driven by a full quarter impact of the second quarter deposit campaign. Offsetting this increase was a partial quarter benefit of the July rate hike on floating rate assets as we remain asset sensitive. In fourth quarter, we will have the opportunity to reprice the promotional money market accounts acquired in second quarter, as well as the full benefit of July's rate hike, giving us the ability to improve our NII and margin from third quarter's level. The cumulative interest bearing deposit data reached 63% this quarter. We expect this to be the high watermark for us in this cycle. Our success in continuing to grow customer deposits enabled the payoff of all remaining FHLB borrowings this quarter. Over time, margin will also benefit from the continued repricing of fixed rate cash flows and widening credit spread. As two thirds of our loan portfolio is floating rate, we remain well positioned to benefit in a rising rate environment. As you can see on slide 10, we're still seeing strong inflows from our deposit campaign. Period end deposits were up 2.4% from last quarter, demonstrating our ability to expand market share. As the Fed's H8 data shows, deposits essentially flat for the industry as a whole. Deposit growth was driven by new customer acquisitions and deepening existing relationships. We opened over 19,000 new to bank deposit accounts, bringing over 1 billion, including approximately 400 million of checking account balances. The average rate on our new customer deposits was 4.2% down over 100 basis points from our second quarter promotional rate. Additionally, the customers we brought in during last quarter's promotion increased their balances by approximately 200 million. The full quarter impact of the successful deposit campaign and a higher Fed funds rate drove an increase in interest bearing deposit costs from 255 in Q2 to 336 in Q3. With our strong liquidity position, our focus is on primacy. We are launching a promotional cash offer for checking accounts that meet primacy benchmarks over time. For customers acquired in second quarter, the rate guarantees on money markets will come up for repricing in the back half of the fourth quarter. We will have the opportunity to moderate funding costs as we focus on converting from promo to primacy. On slide 11, you'll see that period end loans of $61.8 million were up $483 million or 1% linked quarter. Loans to mortgage companies declined $454 million due to seasonality and the impact on volumes from higher mortgage rates. Loan growth was diversified across our markets and portfolios. C&I growth was diversified across multiple industries, geographies, and lines of businesses. CRE growth was largely driven by fund ups from existing loans, primarily in multifamily, while commitments remained flat. We have focused our on-balance sheet mortgage production on the medical doctor program, with over 60% of new balances coming through that channel this quarter. This has been an attractive vertical for us as we can deepen these relationships with wealth management and other products. Our bankers are focused on expanding spreads and deepening relationships through increased cross-sell depository, treasury, and wealth management products. Spreads on new funding have increased almost 30 basis points since last quarter and approximately 60 basis points year-over-year. I will cover fee income trends on slide 12. Fee income is stable at $173 million versus $175 million in the prior quarter. However, excluding deferred compensation, fee income increased by $6 million. Other non-interest income was up $8 million, including an increase of $5 million in FHLB dividends from higher borrowing levels last quarter and a $1 million increase in swap fees. Again, I'll reiterate we have paid off all of our FHLB borrowings in Q3 with a new-to-bank customer deposit. Our counter-cyclical fee businesses are stabilizing near the cyclical lows. We saw a modest decrease of $2 million in fixed income with average daily revenues down due to the challenging market conditions. Mortgage banking income was up $1 million as we slightly modified our pricing strategy to drive volume into the secondary market. Moving on to expenses on slide 13. Excluding deferred compensation, adjusted expenses are up $12 million. This is largely driven by the $11 million of merger-related retention expenses moving into core results this quarter. Personnel expenses declined 2% or $4 million, and there are a couple different moving parts. First, deferred compensation declined by $8 million, which is offset in the corresponding fee income line. Second, as I previously mentioned, the geography change of the $11 million of merger-related retention expense moving into core results. Lastly, we had an $8 million reduction in other variable compensation. Other expenses were up $7 million as the prior quarter included the benefit of a few discrete non-recurring items, which included lower franchise and realty taxes. With a challenging economic environment, expense discipline remains a focus, and we continue to look for operational efficiencies within our business. This quarter, we restructured our regional bank by consolidating into two fewer regions and moderated our mortgage business. Our efficiency ratio was at 59% in Q3. I will cover asset quality and reserves on slide 14. Loan loss provision increased by $60 million from Q2 to $100 million in Q3. The increase was driven by a single C&I charge-off of $72 million. This loan was a shared national credit where we were the lead bank. We initially anticipated a recovery through a Chapter 11 bankruptcy sale. However, there was an unexpected conversion to Chapter 7 in August, at which point we charged off the full amount of the loan. We did not have a specific reserve for this credit as we had an updated third-party valuation that supported our carrying value, and we anticipated an imminent sale within the quarter. We are working with outside counsel to identify, evaluate, and pursue potential recoveries. At this time, we have no estimate of the timing or ultimate amount of recoveries, if any. Total charge-offs were $95 million in Q3. Excluding the idiosyncratic loss, charge-offs would have been $23 million in line with the prior quarter. ACL coverage ratio increased one basis point to 1.36, reflecting loan growth and continued caution around the macroeconomic outlook. The vacancy rate in our office CRE portfolio is 11%, which compares favorably to the industry, which is experiencing vacancy of 19% in the Southeast. Like others, we are seeing credit normalized from historically low loss levels during the pandemic. Though, credit can be variable, we do not expect significant broad-based deterioration in our portfolios. On slide 15, you can see that we continue to have exceptionally strong capital levels. Our CET1 ratio of 11.1% remained flat to the prior quarter, even as we organically deployed capital to loan growth. Even after adjusting for the marks on our security portfolio and loan book, our pro forma CET1 ratio would be 8.6%. Tangible book value per share was $11.22 in Q3, a slight decrease from the prior quarter due to a $0.41 reduction from higher mark-to-mark impacts that were partially offset by $0.29 of adjusted NIAC. Total capital also remained very strong at 13.6%. On slide 16, we have made a couple of tweaks to our outlook, though we continue to believe that PPNR will be within the guidance we gave at Investor Day in June. We updated our loan growth expectations from 3% to 5% to 7% to 9%, as our success in raising deposits has enabled us to organically deploy excess capital into meeting our clients' borrowing needs and strategically acquiring new clients. The net charge-off outlook is updated to include this quarter's idiosyncratic loss, but we expect other charge-offs to be within prior guidance. The new capital range, RWA [Ph] impact of the updated loan guidance. This assumes no share buybacks, but as Bryan mentioned, we intend to evaluate capital deployment as we head into 2024. To wrap up on slide 17, I am very proud of how this team navigated 2023 so far with passion and commitment to our clients, despite the macroeconomic environment and the unique challenges we have faced. Our success in client retention and acquisition would not be possible without the consistent focus of our associates that they have on serving our clients through any cycle or challenge. We are well-positioned to capitalize on the opportunities of our diversified business model, highly attractive franchise, and asset-sensitive balance sheet. We are making strategic investments to support clients with products, services, and technology upgrades that will result in improved efficiency. We will continue to look for operational efficiencies to offset our investments. We remain committed to delivering attractive returns for shareholders through the cycle. Now, I will hand it back to Bryan.
Bryan Jordan: Thank you, Hope. I'll roughly reiterate something Hope said a moment ago. Over the course of our history, we have demonstrated our ability to execute in changing and sometimes unusual economic environments. We know how to pull the necessary levers in order to operate profitably. Our footprint and our team give me tremendous confidence in our ability to generate strong returns for our shareholders. While 2024 economic conditions are likely to soften somewhat, I expect that we will grow revenue, control expenses, and record positive operating leverage next year. I am confident that this company has the people, the resources, and the determination to do what's necessary to support our communities and shareholders throughout the economic cycle. Frida, we can now open it up for call for questions.
Operator: Thank you. [Operator Instructions] We have the first question from Ebrahim Poonawala from Bank of America.
Ebrahim Poonawala: Hey, good morning.
Bryan Jordan: Good Morning, Ebrahim.
Ebrahim Poonawala: Morning. I guess maybe first question, just Hope, thanks for running through kind of the promotion rates where they were this quarter versus last. As we think about the NII guide, I guess, full year or looking back into 4Q, 6% to 9%, give us a sense of how fourth quarter shakes out higher end versus lower end of that guidance range. And then as we think about moving forward, you still have promotional CDs or promotional deposits rolling off. Just if this, should this be the trough in NII and that growth continues to at least the first half of 2024. Is that the right way to think about it? And again the 69% could it what makes it 9 versus 6?
Hope Dmuchowski: Thank you Ebrahim for many questions in one. I'll try to get all of them covered. Apologies if I missed one you can hold me accountable. First, we have not updated our ranges to a very specific percentage, but we expect next quarter to look similar to current quarter trends with the exception of NII that we do expect to increase our and non-interest margin net interest margin that we do expect to increase next quarter as we're able to take advantage of the expanding yields and lower deposit costs. Our Investor Day guidance that we've reiterated here we believe will end up on a PPNR basis right in the middle of that with revenue being a little bit towards the lower side as well as expenses coming in on the lower side. On how we learn about… Sorry go, ahead.
Ebrahim Poonawala: No, go ahead.
Hope Dmuchowski: As to how we think about going into next quarter and next year as we said in our prepared remarks we continue to be focused on disciplined lending and bringing down our core deposit rates that you know we did as we've talked about multiple times in Q2 we went out with a very large promotion in order to re-energize our franchise our bankers and our clients and we plan to walk those rates back and I believe that the billion six that we were able to bring in a quarter at 420 shows that we're able to acquire new clients and walk back existing client rates.
Ebrahim Poonawala: Got it. Thanks. Thanks for that. And this is a separate question, so I completely get this the credit that you had this quarter was very idiosyncratic but Bryan you've done a ton of heavy lifting for GFC in cleaning up this balance sheet. As you went through this credit does this that caused you to revisit the loan book to look at some of the larger credits kind of do another deep dive on the portfolio review to make sure there are no other kind of big chunky surprises. Just talk to us about that?
Susan Springfield: Ebrahim, this is Susan Springfield. I'll take that and then hopefully Bryan can add any comment. During really any economic downturn we take an opportunity to do portfolio reviews across sectors as well as markets. So we are we are doing that. We -- for all of our lines of business specialty lines as well as regional banks. The other thing is anytime we have any kind of loss we do a I call it a spilled milk analysis to look at where there are things that we could have done differently whether it was original original underwriting servicing timing communication, etcetera. So we obviously do take that very seriously or and are in the process of evaluating anything that could be improved related to the outcome of that credit. That being said, I do feel as both Bryan and Hope has indicated very good about the portfolio. We have a history of strong client selection being consistent and conservative in our underwriting and staying on top of our services.
Bryan Jordan: I would add to Susan's comments that the economy has started to tighten financial conditions and slow down to some extent. Higher interest cost is going to have impact and so when you see those things happening as Susan said, we not only are continuing what we typically do in terms of credit monitoring, we do some focused reviews and we expect this credit will soften some, but we think we start in an extraordinarily good place with strong borrower selection strong underwriting and credit structure and ultimately strong collateral value. So we have and as Susan said an effort that we undertook to understand what happened with this one individual idiosyncratic credit and we will learn from that but we believe the fundamentals of our credit selection underwriting and delivery process will position us very well for our economy that's likely to soften some over the course of the next year or so.
Ebrahim Poonawala: Got it. Thanks for taking my questions.
Bryan Jordan: Thank you.
Operator: Thank you. Your next question comes from Casey Haire with Jefferies. Your line is now open.
Casey Haire: Great. Thanks. Good morning, everyone. Wanted to touch on expenses. So if I'm looking at the guide, I mean year-to-date they're up 3% versus last year and you guys are still talking holding to that 6% to 8%, which would imply a pretty big step up in the fourth quarter. Is that accurate, or is that guide conservative? And then, yes I'll stop there.
Hope Dmuchowski: Casey, thank you for the question. I would say reiterating my response to Ebrahim on expenses, we're probably going to be on the low side. We are trying to deploy a lot of new projects and technology that have not yet come into a run rate. Some of those will start in Q4. And then, the bigger unknown is really where our cyclical businesses have Q4. They have such a variable revenue base. And so, even though we're at 3%, we have sat at pretty low levels for FHN, and we are expecting a little bit of an uptick in Q4 that would drive that expense up.
Casey Haire: Okay. It feels like it would have to come in below that, unless... Anyway, okay. And then, Bryan, just following up on your comments about positive operating leverage next year, I believe at your investor day, you were talking about expenses being up another 6% to 8% next year. Does that - your hope for positive operating leverage in 2024, does that still contemplate that 6% to 8% expense guide, or is there a possibility to flex that lower?
Bryan Jordan: Well, I do think expenses will be up somewhat next year. Part of it is what Hope just talked about in terms of the reinvestment in the franchise and making some investments in technology and really doing some of the remedial work that we have talked about in the past. That said, I do still believe that we can drive positive operating leverage. I'm very optimistic in our ability to continue to drive loan growth and particularly wider spreads on our lending portfolios. And as Hope mentioned a couple of different times in the way, we think we have the ability to bring the cost of deposits down over the course of the next year. All that said, I think expenses can be up. We're not going to spend the dollar that we don't need to spend. And so we're going to control expenses. At the end of the day, though, I think we can still generate with even slightly higher expenses positive operating leverage.
Casey Haire: Okay, very good. And just lastly, on the capital return, you guys obviously warming up to the buyback is what it sounds like to me. Just wondering what is -- you guys have been fairly consistent on this front and saying like it's just not the time macro wise to skip in all the uncertainty. It's not as if that uncertainty is going to improve in the 2024. Just wondering what is driving that decision to more increased appetite for share buyback?
Bryan Jordan: Yes, I think it's fair to sort of break it into two pieces. One, we said longer term and prepared comments. It would probably be in that 9.5% to 10.5% range. And I think that's probably a fair way to think about our business through varying economic cycles as we sit here today. We're a little north of 11. And I think as we look at 2024, we may not bring it down much below 11 or into that range. But we don't believe that we need to let that capital continue to accumulate. So depending on what happens with the balance sheet in terms of any growth, we think there's still excess capital to repatriate the shareholders and hold those ratios in this current 11, 11 to 1 area that they're in today. So we think we can do both, maintain strong capital levels, which are important in an economic situation that is probably less certain than any of us might like. And at the same time, we don't need to let that capital base continue to grow from here in our view.
Casey Haire: Great, thank you.
Bryan Jordan: Thank you, Casey.
Operator: Your next question comes from the line of Michael Rose of Raymond James. Your line is now open.
Michael Rose: Hey, good morning. Thanks for taking my question. Just following up on the last two on Ebrahim's and Casey's questions. I guess what I'm struggling with here is the ability to actually drive positive operating leverage, especially if countercyclical businesses, specifically in mortgage and fixed income, are going to be under pressure. And it does look like fixed income will be under continued pressure under a higher for longer scenario. So maybe if you can just help us kind of understand the drivers of how you actually drive positive operating leverages. I think that's something that we're all struggling with. I'm certainly getting some emails. Thanks.
Hope Dmuchowski: Michael, good to hear from you and I appreciate the third question and I'll try to answer it as well as I can in a little bit more detail. I think, Casey said it best. It's going to be hard for us to hit the 6 to 8% expenses. Bryan, followed up with we are looking for ways to drive down expenses. We're only four and a half months post the deal termination and we're re-looking at our franchise and trying to figure out how we make investments and how we've offset that. This quarter we've reorganized two of our regions. We've downsized our mortgage business. We are continuing to look at how can we bring back deposit costs. So we're going to, this will be, we're going to be able to increase margin in future quarters. We believe that this is our high watermark for the cost side of margin. We're going to see, we do expect that our on business will have a better year in 2024 and 2023 as we see stabilization in rates next year. And we are going to continue to keep a disciplined focus on expenses. We're just in the cycle now as looking at what 2024 will be from a budget perspective. And we're looking at every opportunity to bring down expenses and drive revenue. I would love to give you 2024 guidance. We just need a little bit more time to finalize everything. But I think you should see the regional bank restructure that we did as well as the mortgage of us getting out pretty quickly, the first full quarter after a deal was terminated and looking at how we can run our businesses more efficiently and redeploy that to investments to improve the client experience.
Michael Rose: Okay, and then just stepping back…
Hope Dmuchowski: And Michael, one other note I'll mention. Sorry, go ahead, Michael.
Michael Rose: You go. No, go ahead.
Hope Dmuchowski: When we look at the retention expenses coming back to core, I know we mentioned this on a prior quarter and it came up with Barclays as well. The year-over-year increase in that is only 5 million. So even though we only have a half year this year core and a full year next year, because the first portion pays out in May, it is not as big of a year-over-year increase. I think some of you have in your model. I think you guys are taking the 11 million and assuming that was almost double next year. And so you look at the expense that I see in your models. I think you guys were over weighting that piece.
Michael Rose: Okay, helpful. And then again, I know it's too hard for 2024 at this point, but I mean, is there an expectation just broadly that you can actually grow NII I certainly understand all the tailwinds as it relates to the margin. But is that is that actually baked into at least preliminary expectations?
Hope Dmuchowski: In the current rate scenario yes, we believe [Indiscernible] is strong for us. We do have a rate curve that has continuing increases for the 2024 year and no decreases and being asset sensitive. That is positive to NII.
Michael Rose: All right, thanks for taking my questions.
Operator: The next question comes from Brody Preston of UBS. Your line is open.
Brody Preston: Hey, good morning everyone.
Bryan Jordan: Morning, Brody.
Brody Preston: Hope. Sorry to beat a dead horse, but I just wanted to put a finer point on the expenses. To get to the low end of your guidance range. I need to step expenses up to $520 million for the fourth quarter. It's a $55 million linked quarter increase, which seems steep. If not kind of like numerically impossible to kind of flex the model that high. So can you can you tell me why? Like, specifically what is going to drive the $55 million increase to get to the low end of the guidance?
Hope Dmuchowski: Yes, I think the low end of the guidance, 5.6 also rounds up to 6, right? Or 5.51. And so, as we look at it, we're sitting here at about 4% and we're still haven't seen a lot of our technology project start. And again, we have a variable compensation model at FHN. We're sitting at a quarter that was a kind of a low watermark for them and we are expecting increased revenue there, which comes with increased compensation. We also have additional marketing campaigns tied to our new checking account program that we just launched as well as acquiring new deposits.
Brody Preston: And is there anything left from the deferred compensation from the TD deal that still needs to work its way into the run rate? And if so, can you tell me what the dollar amount is there?
Bryan Jordan: Not in the fourth quarter. It's in the same zip code that you had in the third quarter, about $11 million incremental in the third quarter expense base. And it should be about the same in the fourth quarter.
Brody Preston: Got it. Thank you for that. Do you guys have an ad with the spot interest bearing deposit rate was at 930 and then you've talked about, kind of moderating deposit costs from here. Do you have a view on where you expect that spot rate to move to by 1231?
Hope Dmuchowski: We do have the current spot rate at 339, and we are looking to walk that down. I don't want to put a rate out there. Every time I put a beta out there, a rate out there, we seem to miss it. So far, we've missed our beta guidance, and our rate guidance, we've been able to raise deposits quicker. We do have almost 6 billion repricing in Q4 related to the money we brought on in Q2 for deposit campaign, and so I think it really ties to how quickly, what our ability is to walk that back, as well as bring new deposits in. If we can continue to bring them in at a 420 average rate, we'll be able to walk it back a lot more. But, most of that reprices in the second half of November and December, so we've really got to see what our ability is. We're seeing some steeped competition on deposit pricing, and so how that changes, how our competitors change their deposit pricing from now until November and December when ours repriced will really kind of generate how much I think we can walk it back.
Bryan Jordan: The other big factor, to Hope's comment is the shift in mix, as money moves from non-interest bearing to interest bearing, and naturally moves that call stuff as well. So it's a, there are a lot of levers to play. We think in the aggregates, as Hope highlighted in her prepared comments, the new money that we brought in in the third quarter was on a mixed basis significantly lower than it was in the second quarter in terms of lending costs. And we think as this deposit promo starts to reprice, we have the opportunity to bring those costs down more in line where we've been bringing new balances on over time.
Brody Preston: Got it. And do you, maybe switching gears in the loan portfolio, do you happen to have what your exposure is to shared national credits, and of that what portion are you the lead lender on?
Hope Dmuchowski: Yes, we've got that information. In terms of shared national credits as a percent of the portfolio, it represents about less than 14% of our balances. And we're the lead on about around 3%, 3% to 3 5% of that.
Brody Preston: Okay, great. And thank you very much, Natalie. And then the last one for me before I hop was just two-parter on the office exposure, specifically on the non-medical office. Do you happen to have what the allowances that you have set aside against the non-medical office currently? And then do you have a sense for what the average LTV on those properties are?
Hope Dmuchowski: Yes, we don't. I don't have it broken out in that detail in terms of the allowance. But in terms of our lender values on office, you're talking about non-medical office. Correct?
Brody Preston: Yes, that's correct.
Hope Dmuchowski: Just the traditional office. So in our portfolio today on traditional office, the average upfront equity we have is about 35%. And on a stabilized loan to value basis, we're at about 60%.
Brody Preston: Got it. Thank you very much, everyone. I appreciate you taking my questions.
Bryan Jordan: Thanks, Brody.
Operator: Thank you. You now have Brady Gailey of KBW. You may proceed when you're ready.
Brady Gailey: Thank you. Good morning, guys.
Bryan Jordan: Hey, Brady.
Brady Gailey: We've had two big quarters of deposit growth, which has been good to see. It's helped lower your loan or deposit ratio. How should we think about that going forward? And 4Q and as we head to next year, are you still targeting to have deposit growth, outpaced loan growth? Is there a target you have in mind as far as where you want to get your loan or deposit ratio?
Bryan Jordan: Well, it's an interesting discussion. Hope and I talked about the loan to deposit ratio. We clearly want to grow deposits. And I would say it's less about the balances than it is the relationship. It's customer acquisition to us. And we want to be in a position to continue to broaden and deepen and grow customer relationship. Our loan to deposit ratio ended the quarter at about 0.92. And if you blend that, that's probably a little bit higher than peers. But if you grow on securities, which we tend to have a relative, much smaller relative portfolio, we're sort of right in line. We think to the extent that we can grow relationships, that we can grow deposits, it gives us the fuel to continue to support customer needs on the credit side as well. And so we are not proactively as much managing the loan to deposit ratio as we are trying to proactively manage our ability to serve our customers and our communities in a profitable fashion. So I'd say at the end of the day, if we have the opportunity to grow attractively priced deposits and relationships, absolutely we're going to continue to do that.
Hope Dmuchowski: Brady, I'll add to that is we feel like we're in a great place because we have now two quarters of deposit growth. We've shown that we can do it. And we also have a capital position that allows us to deploy that. We don't have to build our capital base. So our ability to continue to grow deposits and deploy that into a higher yielding loan is what we're looking at. 92 loan to deposit ratio, as Bryan said, when we add securities in there, we're at the peer median. We feel really good about the trajectory we're on, which is why we believe that we will improve our margin in the coming quarters.
Bryan Jordan: One final point is, look, we're fortunate in the fact that we get to do business in great markets, great economies, and on a relative basis, we think that they will outperform the U.S. economy. So I think we're in a good spot to see positive momentum in our deposit base.
Brady Gailey: It's good to be in the South. I agree. And then just my last question is to follow up on your comments about buyback into 2024. If I heard you correctly, it sounds like, instead of getting common equity tier one down to that 9.5 to 10.5, you kind of just want to hold it relatively flat at 11. Did I understand that correct? And then what would it take for you to consider, a more elevated level of buyback that could potentially get that common equity tier one number down into your range? Is it more economic uncertainty? What would you like to see to take that lower?
Bryan Jordan: Yes, that's what you said is a rough approximation of what I said, which is that as we look at it today, we're likely to keep that CET1 ratio given the board support at a constant level around that 11% area, 11.1% area. To bring it down further, I think we and the board would have to be confident that we had greater certainty about the direction of the economy and how things were more likely to play out. So it's not to say that that's completely off the table, but as we sit here today, it still feels like 2024 in terms of rate and economic outlook is still a little more uncertain than we would like. We don't see it as extremely negative. We just see it as more uncertain than we think. Maintaining a strong capital base tends to be more in our favor than bringing it down prematurely.
Brady Gailey: Okay, got it. Thanks, Bryan.
Bryan Jordan: All right. Thanks.
Operator: We now have Steven Alexopoulos from JPMorgan.
Anthony Elian: Hi, everyone. This is Anthony Elian on for Steve. In the second quarter, you added about $6 billion in deposits from the new campaigns, and then you added another $1 billion in 3Q. As the rates on these campaigns move lower in 4Q, how confident are you that you can retain both these deposit balances as well as more importantly, the overall client relationships that you've added?
Bryan Jordan: Yes. So we recognize that when you attract new customer relationships, I think the number was something like 32,000 in the second quarter, about 25,000 of those being retail. I think it was about 19,000 new bank accounts in the third quarter. Not only is it important that you attract a new relationship, but you broaden and deepen it. And our bankers all across our markets are working every single day to broaden and deepen the relationships with those new customer relationships, new bank customers. So we have a high degree of confidence that we will retain a significant portion of those. I don't sit around and think we're going to retain every one of them, but we have a high degree of confidence that we can broaden and deepen with a significant number of those relationships.
Anthony Elian: Okay. And then total deposit growth was really strong in the quarter, supported by the campaigns, but then non-interest bearing deposits continue to decline. On the guidance slide, you point to DDA balances returning to pre-pandemic levels, but it looks like you're very close to that level of 27%. So I guess, how much more do you see to get there and by what time?
Hope Dmuchowski: On a pre-pandemic percentage, you're right. We're at about a 27%, which is where we were, but on an absolute value, we're about 2 billion higher. We've done the analysis of operating accounts and we think on the downside, we look at how much is in the account versus how much they're using. There's only about 2 to 3 billion of additional credits versus debits each quarter. So we don't feel, we're not losing clients. It's balances that have moved to interest bearing, and it's clients are holding less cash in their operating accounts. The inflationary environment that they have, the macroeconomic environment that they're working in, they are holding less cash in operating accounts. And so we think if you look at an absolute value, they really got to the point that we had the exact same amount of debits and credits in every client account. We beat exactly kind of a dollar-wise where we are. We are working very hard to attract new DDA clients as well. As we mentioned, we just launched a new program, a new marketing campaign in this current quarter and a program to go after that. It is a factor of two things there, which is one was the mix we saw earlier in the year and two, just our clients have less cash on hand in their operating accounts these days.
Anthony Elian: Okay. And then my last question, at Investor Day, you provided an ROTC range of 15% to 18% through the cycle, but your adjusted ROTC this quarter was just over 9%. I know the elevated charge-offs this quarter weighed on that, but how are you thinking about the previous range of 15% to 18% for ROTC that you provided at Investor Day? Thank you.
Hope Dmuchowski: That is a through-the-cycle number and we still believe that will be the number. If you look at this quarter and we take out the one charge-off, we add about 3.2% back to ROTC, so we get closer to our range. As Bryan and I have talked about earlier, we are looking to create positive operating leverage. We are looking to return capital to shareholders. And so we still do run our company and look at through-the-cycle, that being our target range. We have no reason to believe that we can't hit that or that we should bring that down.
Bryan Jordan: As we talked about a number of different times, we are running at higher capital levels today and we believe is sort of through the cycle range as well that has an impact on that. So we still have a high degree of confidence through the cycle. We can drive those sort of mid-to-higher teams ROTC.
Anthony Elian: Thank you.
Bryan Jordan: Thank you.
Operator: Thank you. We now have Christopher Marinac from Janney Montgomery Scott.
Christopher Marinac: Hey, thanks. Good morning. I want to ask Susan about criticized loan trends and kind of what she is seeing this quarter and also maybe what she would expect the next few quarters looking into early 2024.
Susan Springfield: Thanks, Chris. We are seeing some increase in criticized assets, but it's slight at this point. We are up, I guess, about $100 million in terms of criticized assets quarter-over-quarter. And we continue to have some upgrades. We are seeing a little bit more in commercial real estate than we are in C&I. But again, it's a handful of credits. I'm not seeing systemic. Just kind of credit normalization at this point.
Christopher Marinac: Does that change reserve levels?
Susan Springfield: Yes. Obviously, we've got a slight increase in terms of reserve coverage. We were up about a base.
Christopher Marinac: Very well. And then, based on the SNCC [Ph] information that you gave us a few minutes ago, are there any other sort of like club type deals that wouldn't define as SNCCs that would above and beyond that 14% number?
Susan Springfield: About 1% more.
Christopher Marinac: Okay. Great. Thank you for taking our question this morning.
Susan Springfield: Okay. Thanks, Chris.
Operator: We now have David Chiaverini of Wedbush Securities. You may begin.
David Chiaverini: Hi. Thanks. You've previously mentioned about how you're open to doing a potential MOE for scale benefits and crossing the hundred billion in assets. I was wondering what factors could accelerate a potential deal and what factors could push out a potential deal any updated thoughts there would be helpful.
Bryan Jordan: Yes, I'd say there are more factors pushing it out and there are bringing it in. I think they're opposite sides of the same coin in some sense. I think it's the M&A environment is likely to be very very minimal over the next couple of years part of that is economic part of that is interest rate marks and I still think as demonstrated over the last few quarters uncertainty about regulatory approval processes in addition to the proposed rules around Basel III make anything unlikely in the near term, and I would guess our view is it's probably two three years before anywhere from a year and a half to three years before you really start to see a pickup in M&A activity. So that's not something that's on our radar screen today.
David Chiaverini: Makes sense. Thanks for that and shifting over to loan growth and the increased guidance to 7% to 9% I was curious what areas are you leaning into with the increased loan growth guidance?
Hope Dmuchowski: But we do see some opportunities where other banks have pulled out completely. So we've got some opportunities in mortgage warehouse lending. We've got some opportunities and what I would just call for commercial in our market. We can talk about generational opportunities to bring over the family and companies in the market that we continue to serve. There's also some opportunities in asset-based lending. One of the reasons that we think could be attracted to is we are seeing some ability to have widening spread and even more conservative underwriting things like more upfront equity better covenant more opportunities to have guarantor and sponsor resource that kind of thing.
Bryan Jordan: We're always…
David Chiaverini: Thanks very much.
Bryan Jordan: We're -- I'm sorry to interrupt. We're always opportunistic as we think about how we grow high value relationships and that's through all economic cycles. And so we're always thinking about how we grow the business. The other thing is driving the growth if you look at a substantial portion of the growth in the third quarter of this year it continues to be what I've described in the past the spring-loaded nature of our balance sheet and that we have some continued fund up of construction assets, which is driving the growth. Organic growth has slowed. It does feel like lending activity more broadly in the economy and what we see from customers has slowed and it's likely to continue to slow but we will be opportunistic and look to grow our business and to grow our customer base by using our balance sheet appropriate ways to support customers and communities.
David Chiaverini: Helpful color. Thank you.
Bryan Jordan: Thank you.
Operator: Thank you. We now have Jon Arfstrom with RBC Capital. Please go ahead.
Jon Arfstrom: Yes, hey good morning everyone.
Bryan Jordan: Morning.
Jon Arfstrom: Just a quick just a question on loan growth to David kind of stole my question, but that's okay. I guess the question for you Bryan is that this do you feel like this is a sustainable pace of growth? That's kind of 1% to 2% sequential growth as you look out into 2024.
Bryan Jordan: Well right now I think you know as I tried to mention study articulate some of the growth is just going to be natural in the fund up of some of these construction loans as projects get completed and these are projects that Susan has described continue to be on track and continue to look good. So that will drive some of it. In the middle of this quarter it started to feel a little more like really in the back half this board started to feel like I'm starting to slow down in customer demand customer activity. So it does feel like things will be a bit slower. But I do think there's opportunities to continue to selectively add relationships and credits and a lot of euphemisms are out there about the RWA diets and things like that. We're not in that mode. We do think that we can use our balance sheet to support customers and communities and it's one of the benefits of having a strong capital base and being in a position to compete effectively for new relationships when we see, as Susan described, generational opportunities or otherwise to strengthen our customer pool across the entire franchise we serve.
Jon Arfstrom: Okay. And just somewhat related, I know you were asked this at Investor Day, but the balance sheet growth expectations at your size, it feels like you have a couple year runway and maybe you think about $100 billion in asset threshold later, but any limits on your balance sheet growth in the near term?
Bryan Jordan: No real short term limits. I think we've got a few years of runway and if necessary we can tread water. So we understand where that bright line is and we're going to be very intentional about not inadvertently stumbling over that threshold. So until we get greater clarity about what that regulatory landscape looks like, we will do all we can to grow the balance sheet and at the same time not inadvertently stumble over it. But we think we've got a few years. It's not an immediate concern in the near term.
Jon Arfstrom: Okay, good. Just a small one too. One of the numbers that you flagged was the 19,000 new checking accounts as part of the deposit campaign. Is that a material number to you? I know it's just a quarterly number and what drove that and is that repeatable?
Bryan Jordan: Well, it's an important number because it's 19,000 new relationships. It probably compares to a base of around 900,000 customer relationships. So it's not an insignificant number. We in any given quarter will lose a few as well. But it is important to note that our bankers are out there front footed, that they're acquiring customer relationships in the marketplace across the entire footprint. And as I said earlier in this call, clearly it's not just about that first account. It is we want to build a relationship. I mentioned the tenure of our customer relationships. We want to broaden and deepen those relationships. So I guess it's what's the old proverb about every journey starts with the first step. I mean it's that first account and then we broaden and deepen from there is our goal.
Hope Dmuchowski: Jon, this is Hope. The other reason that we've called that out is it shows that we're growing our deposit one client at a time. We're not out there buying big municipal funding. It's not for group deposits. We're truly acquiring clients and that's why our deposits are growing. I know others have flat deposits for deposit groups, but they're talking about CDs. They're talking about big chunks of money. We are doing it one client at a time. And because we believe the way that our franchise will excel and succeed is to bring these clients in with their first product and then sell them and make them long, deep relationships that are with us for 5, 10, 15, 20 years.
Jon Arfstrom: Yes, right. Yes, makes sense. Okay. Thank you very much.
Operator: Thank you. We now have a question from Timur Braziler of Wells Fargo Securities. Your line's open, Timur.
John Rowe: Hi, this is John Rowe. I'm for Timur. Just kind of a longer term question about your CET1, your long term CET1 target in the 9.5% to 10.5% range. I guess, has there been any preliminary work done on what that could move to, if at all, as if you were to cross that hundred billion mark or does that already factor into the range provided and just how that would maybe impact your long-term capital return plans?
Bryan Jordan: Yes, we have done some very preliminary work. But given the sort of state of flux of the Basel III proposals and how it impacts the various tiers above the $100 billion threshold, we haven't really factored that into our long-term goals at this point. And if in fact we do something that puts us above that $100 billion threshold, whether it's through organic growth or otherwise, we'll update it at that point.
John Rowe: Okay. Thanks. And then just one clarification question on the expense guidance. Does the guidance for the full year assume that the FDIC special assessment fits in 4Q or has that not been included yet?
Hope Dmuchowski: No, we don't have that in expenses. We have that as an adjusted item. It is in our capital forecast, but for the expense guidance, we're excluding that as an adjusted item.
John Rowe: Okay, great. That's helpful. Okay, that's all that I had. Thank you very much.
Bryan Jordan: Thank you.
Operator: Thank you. As we have no further questions, I'd like to hand it back to Bryan Jordan for any final remarks.
Bryan Jordan: Thank you, Frida. Thank you all for taking time to join us this morning. We appreciate your time, attention, and questions. Please reach out if there's any additional information that you need from us. I hope everyone has a great day.
Operator: Thank you all for joining. I can confirm that does conclude today's call. Please have a lovely rest of your day and you may now disconnect your line.